Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Quanex Building Products Fiscal 2012 First Quarter and Annual Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's presentation, Mr. Dave Petratis, Chairman and CEO, Quanex Building Products. Sir, you may begin. 
David Petratis: Good morning, and thanks for joining us for our First Quarter Conference Call. On the call with me today are Brent Korb, our Chief Financial Officer; and Jeff Galow, our Vice President of Investor Relations and Corporate Communications. Today's call will include a brief recap of the first quarter, an update on our Insulating Glass Consolidation Program and a general outlook for demand in fiscal 2012.
 Our comments today include forward-looking statements about the future prospects of Quanex. Please refer to our SEC Form 10-K filed in December 2011 for our complete forward-looking disclosure statements. The earnings release is available at quanex.com.
 Engineered Products finished the quarter with same-store sales off about 4% from a year ago. In the absence of any window tax-related credit this quarter dampened end demand compared to the first quarter of 2011. EPG's operating income was $1.8 million, which included a $1.1 million operating loss at Edgetech. Expenses associated with the $16 million IG Spacer facility consolidation were $2.5 million in the quarter, of which $400,000 were included in Edgetech's $1.1 million loss. 
 I am pleased to report that the consolidation program remains on schedule and on budget. Part of the program involves rearranging processing equipment at the Cambridge facility to ensure the most efficient workflow as possible once the consolidation is complete in August. We remain confident in our estimate of annualized savings of about $9 million as a result of this program.
 According to market intelligence firm Ducker Worldwide, U.S. window shipments for the 12 months ended December 2011 were down about 7% compared to the year ago period, while same-store sales at EPG were down 2%. 
 Let's now turn to review of Nichols Aluminum. End demand was weak in the first quarter, and that weakness was reflected in the 44 million pounds we shipped in the quarter as customers remained in a conservative de-stocking mode. We also suffered from poor execution in our Alabama facility that cost us several million pounds of shipment in the quarter. Nichols is a high fixed cost operation, so weak shipments usually translate into poor operating results, and this quarter was no exception. We reported an operating loss of $5.5 million versus a modest profit in the year ago quarter.
 This time last year, customers were still building inventory to take advantage of the window tax credit, but obviously, that was not the case this quarter. Also hurting our results was the fact that aluminum prices have dropped recently and that, in turn, hurts the spread. We define spread as the difference between the average sale price and the average raw material cost. Spread in the first quarter was down 6% from both the year ago quarter and the sequential fourth quarter. Unfortunately, we expect another drop in spread in the second quarter compared to the sequential first quarter, but volumes are expected to improve.
 The Aluminum Association reported that industry shipments in our end markets were up 2% for the 12 months ended January 2012 from the year ago period. Our shipments were off about 14% over the same period. The difference is primarily attributed to weaker residential building demand where we have a larger presence, compared to stronger distribution and transportation demand where we have a smaller presence.
 On January 20, Nichols experienced a strike with its Teamsters union at its casting facility and one finishing facility, both located in Davenport, Iowa. There were no strike-related customer disruptions in the quarter, and both facilities are being operated by management and temporary employees. While the union rejected our last offer, negotiations are continuing. I cannot tell you when the strike will be settled. And when nobody wants a strike, we believe the company's proposals are fair and reasonable reflecting industry norms. 
 At this point, I'd like to turn the call over to Brent who will take you through some additional financial highlights. 
Brent Korb: Thanks, Dave, and I'd like to add my welcome to those on the call today. Quanex reported an operating loss of $0.18 per share in the first quarter of 2012 compared to a loss of $0.13 per share in the year ago quarter. The current loss included $0.04 of expenses associated with the IG Spacer Consolidation Program, $0.01 related to ERP expenses and $0.01 associated with losses at Edgetech. The year ago quarter loss of $0.13 included $0.12 of special item expenses. The stock buyback program was active in the first quarter, with the company purchasing about 94,000 shares of common stock for approximately $1.3 million.
 Our $270 million revolving credit facility remain intact. Because of certain EBITDA covenants associated with it, the available balance was about $173 million at quarter end. Possible uses of cash included funding our growth initiatives, making acquisitions that fit our fenestration vision, funding our common stock dividend and buying back stock. 
 With that, I'll turn the call back to Dave. 
David Petratis: Thanks, Brent. Moving to the discussion to our fiscal 2012 business outlook, we continue to expect home starts and residential R&R demand to remain relatively flat compared to last year. We know our outlook puts us on the conservative end of the scale, particularly with regard to recent home starts activity. At this point, we're not convinced that the weather didn't play a key role in the activity. So for now, we are labeling this higher activity a weather-driven season event and not cyclical recovery. 
 Ducker Worldwide raised their 2012 U.S. window shipment estimate this month by 10% to 42.6 million units, with 90% of that expected to come from new residential construction. We hope Ducker's right, but ongoing discussions with our leading window customers do not reflect that level of optimism, so we'll continue to maintain a conservative stance. 
 Some of you have inquired about Quanex providing updated guidance, but because of the questionable strength of our end markets, concerns of our large customers, the strike at Nichols, we can offer no guidance for 2012 at this time. I know that is not what some of you want to hear, but we believe it's the responsible thing to do.
 With that, we're ready to answer your questions. 
Operator: [Operator Instructions] Our first question or comment comes from the line of Mr. Daniel Moore from CJS Securities. 
Dan Moore: You touched on in your comments poor execution at the Alabama facilities. Could you maybe give us a little bit more color there and quantify the impact in the quarter? 
David Petratis: So our opportunity at Decatur, Alabama is to participate in the transportation sector because we have finished capabilities to do wide coat paint. And we just have got a very old infrastructure there that we have in the capital update plans and the uptime on the system, the paint system, was poor. In terms of pounds, I'd turn to Brent and Jeff to give you a specific answer. 
Brent Korb: Yes, I mean, I'm going to stop from just giving what the direct impact of it was, because then you get into, well, was it this or that, so I'm going to stop short of giving what the amount of pounds were. 
Dan Moore: Okay. And perhaps one quick follow up. You gave a little bit of color as to what your outlook for Q2 is in terms of the spread continuing to contract. Any additional color you might want to give? And you did say that you saw volumes improving. Again, any kind of bracketing or greater color you'd want to provide around there may be very helpful. 
David Petratis: We're moving into the spring season in terms of aluminum demand, so our customers will be optimistic. It goes on every year. We saw a similar pattern of aluminum stocking in Q2 and 3 of last year, and as we moved into Q3, it fell off the map. So we're cautious. Aluminum pricing has been on a downward trend and compressed spreads. Your guess is as good as mine on that, but we expect a pressure to continue. 
Operator: Our next question or comment comes from the line of Mr. Keith Hughes from SunTrust. 
Keith Hughes: Questions on the aluminum segment on the compressed margins. At least on the cash price for aluminum, it looks like we got a little bit of a move in the last month of the quarter and up, is there something going on with the recycled prices causing this contraction that you're expecting in the second quarter? 
David Petratis: Brent or Jeff? 
Brent Korb: No, I mean, it's more -- you tend to see, over time, that the scrap aluminum prices move in line with. But as we see these swings down and up with the global LME prices, in the short term, we don't see scrap move 1:1 with that. So it really is what's going on with the global prices. We've seen it decline a little jump up in the cash price, but I guess the feeling is it's likely to be lower than higher as we progress in the short-term. And by that, I'm talking global prices. 
Keith Hughes: And then jumping over to Engineered Products, are we completely done with the integration of the most recent acquisition? Could you just give us update where we stand on that? 
David Petratis: So the integration of Edgetech, as we deal -- remember, that we acquired them April 1, so we'll continue to post that up on same-store sales next quarter. The front end of the business commercial sales and marketing is fully integrated, operating extremely pleased what we're doing there. We believe that what we call Project Alpha, which is the integration of our Barbourville facility in the Cambridge, Ohio, will be completed by the end of August. 
Operator: Our next question or comment comes from the line of  Mr. Robert Kelly from Sidoti. 
Robert  Kelly: Just wanted to talk Nichols Aluminum. The compression you saw in Q1 and expect in Q2 is the -- on the raw materials side, it's not related to the market price or, I believe, you call it the tolling spread? 
David Petratis: Brent? 
Brent Korb: Well, no. I mean, I think what we see going on there is, if you really look back over the last 6 months and what's going on with the global LME price, that that's had as much as not more of an impact than on the scrap side. So the decline over the 6 months -- as we've said historically, basically, any fall or rise in global LME prices, we see about 30% of that on the spread line. That declines by $1. As an example, we see a $0.30 decline in spread, just as an example. So that's really what's driving this spread thing. 
Robert  Kelly: Let me try it this way. Are you seeing a breakdown in market industry pricing discipline? 
Brent Korb: No, no, not indicating that at all. So it's not on the tolling charge per se, just global pricing. 
Robert  Kelly: Great. And then as far as just your outlook, since 4Q, you took out of your shipment outlook a little bit, you're saying $39 million in your release and 4Q, you said $38 million. What -- I mean, I know it's a modest improvement compared to your last outlook. What are you seeing to give you that, that slight bit of optimism, which we typically don't hear from you for calendar '12? 
David Petratis: So we continue to be conservative. I would say, our optimism or uplift is really on share gains. I don't know if you follow this closely, but we do, but Weather Shield, a Wisconsin-based company, has run into some trouble at Menards. And that was picked up by JELD-WEN. It will benefit from that in terms of overall -- our own window demand. In terms of the overall market, when you -- $39 million to $40 million, we see the bulk of that activity coming in multifamily residential. 
Robert  Kelly: That doesn't help you that much. 
David Petratis: It doesn't help us. Those are entry point price products. What we need to see is a stronger lift on single-family homes and stronger pick up on R&R, just as we talk to our large customers and monitor the market difficult. I would say this though, Bob, if you look at some external benchmark, signing tons [ph] Q4, I think off 20%. The cunic North America, off 15%, and our modest decline at minus 4%, we're pretty doing a pretty good job execution in the market in gaining share, that's what we think our actions are. 
Operator: Our next question or comment comes from the line of Mr. Peter Lisnic from R.W. Baird. 
Peter Lisnic: I guess, first question, if we could just kind of beat the dead horse at Nichols a bit. If I look at that margin compression, can you bifurcate that between the Alabama issues and the spread compression in the first quarter? 
Brent Korb: You're talking 2 animals. Really, the Alabama issue is a volume driver whereas what's going on with global aluminum prices, scrap spreads, that's all the spread. You're asking what's -- when I look at the loss in the first quarter, how to bifurcate that? Would that be a better way to rephrase what you're asking? 
Peter Lisnic: Yes, I think that's a better way. I'm wondering because you mentioned paint specifically and if I assume at that higher margin and if you had trouble in the paint line, I'm guessing that there is a mix impact from that? 
Brent Korb: Yes. I would say I don't have the number in front of me, but I would not have expected the mix to be dramatically different than what we've seen in the most recent quarters where it's really high 20% of what we shipped was painted. But to be fair, I don't have that number sitting in front of me. I think if you just really look at it year-over-year and in the volume, the 44 million pounds in 2012 versus 52 million last year, the earlier question was, what's the impact on the Nichols Alabama issues, it's just how many pounds did we not get out the door really. 
Peter Lisnic: Okay, all right. That helps. 
Brent Korb: And to be fair, so we did not perform as we should have, but that's not what's driving the 52 million to 44 million, I mean, it's a small piece of that. That's more market demand than just Nichols Alabama. But we like to be hard on ourselves. 
Peter Lisnic: All right, understood. And then second question, at EP, if I take out Edgetech, it looks like the core business profitability actually improved year-over-year. So can you give us a sense, Dave, as to whether that you've got some pricing initiatives there, some positive mix, some restructuring savings, kind of what's driving that underlying core business improvement? 
David Petratis: I think it continues -- our improvement at EP continues on the lines that we've been on. Remember, we took a pretty big, what I'd call, restructuring charge a year ago. We see some of the benefits of that working through there. Our pricing initiatives continue to work. And then, when you look at the overall volume, only down 4 where our market was a softer that more productive workforce and infrastructures working for us. So pricing lowered our costs and then good execution by the business. 
Operator: Our next question or comment comes from the line of Mr. Justin Boisseau from Gates Capital. 
Justin Boisseau: Can you talk a little bit about the acquisition opportunities that you're seeing out there? What the appetite is from your end on doing something near term, or do you want to wait a while to finish, if you feel more comfortable with the Edgetech integration? 
David Petratis: No. From our perspective, it's go time. We think the next 12 to 24 months is critical. We've been working hard on our pipeline in terms of acquisitions, and really believe we're in a better position than we ever been because of the integration of Edgetech. Our front-end, as I said, sales and marketing [indiscernible] has never been in a better position. So if we can find the type of opportunity that we like, building on our fenestration side of the house, we'll seek those effectively. And Edgetech's a good example. We like opportunities. It will build on our fenestration technology and give us the opportunity to have some cost takeout. So that's what we're on the hunt for. 
Justin Boisseau: And size you would expect? What sort of sizes are you guys going to be comfortable with? Should we think about that 50 to 100 is being the largest, or will it go up from there? 
David Petratis: That's certainly our sweet spot. If the opportunity to stretch above that, we would not hesitate to go above that, but it's got to be very close to where our markets are today. 
Justin Boisseau: And how should we think about the prospect of additional stock buybacks? Is it opportunistic or is it more mechanical? How do you guys think about it internally? 
David Petratis: Brent? 
Brent Korb: Yes, I would say if you look at us over the long term, we are clearly focused on offsetting dilution. And in the short term, we'll be opportunistic where we can be. So we see prices going down to levels that we think there's a solid opportunity to be in the market volume, we will. But our goal over the long term is to offset dilution. 
Operator: Our next question or comment comes from the line of Mr. Tim Hayes from Davenport. 
Timothy Hayes: First question on Nichols, on the decline in volumes year-over-year, is any of that attributable to a competitor reentering the market in the fall of 2010? 
David Petratis: I'd think you can certainly see that our competitors are more healthy than they were a year ago. But if you drill down in the Aluminum Association metrics of market opportunity, especially around building products where we're strong, the market was just pretty damn weak.  Rainwear, soffit [ph],  trim, those types of things, off double digits. We saw that beginning in May. And let's face it, window production, we sell a lot to the fenestration industry. From the aluminum standpoint, the rainwear, trim and siding that follows along with replacement window market was as weak in 2011 as we've seen through the whole downturn. 
Timothy Hayes: Second question on the other spread, the conversion price spread for Nichols, we heard some price increases announced by another competitor here, I guess, just recently. How well might that be sticking into your view? 
David Petratis: I think this market's disciplined, and I think you can see that order over the last 70 years. So I think it sticks. 
Operator: Our next question or comment comes from the line of Mr. Phil Gibbs from KeyBanc Capital. 
Philip Gibbs: Brent, this is a bit of an accounting question. Can you explain the D&A related to the ERP implementation, and if this runs off at some point or is it permanently a piece of the cost base at this point? 
Brent Korb: Yes. So what it really is, is we went live with our payroll ECM at [indiscernible] January 1. So really, all the costs that you incur upfront to buy the licenses and then the costs associated with programming, the specific payroll applications, on January 1, we began to depreciate those. Is it an ongoing? It will be ongoing in terms of what we do. What our plan is, here, is really about a 3-year rollout as we begin to replace system after system throughout the company. And so, we're incurring costs to program the system. And then once we go live, we move that capitalized cost into depreciation. So I don't have the schedule to tell you, okay, it's going to be this amount for the next 12 months and y amount for the following. But depreciation is here to stay as it relates to the ERP for the next 6 years, I'd say, as we roll this thing out. 
Philip Gibbs: Okay. And then the $3 million that you have in corporate cost assuming those are cash expenses, when do those start to start to pare down? Do you expect to be spending at that level in corporate and into fiscal '13, '14? 
Brent Korb: Specific to the ERP? 
Philip Gibbs: Yes. 
Brent Korb: No, no. Really, heavy lifting here in this 2012, call it, the next 12 months, because as we go through these rollouts, what we're really doing is designing a global system, which that's where the heavy lifting is. And then, as we roll onto additional system, we will have the bulk of the system already in place, and now it's really just getting a different location on. So I would expect the cost in the future years to decrease significantly as it relates to the ERP system. 
Philip Gibbs: Okay. And last question here is outside the CapEx related to the IG Spacer rationalization, the ERP, what do you see as that break out between what you would call growth CapEx and maintenance CapEx? And I think it's what, about $29 million, $30 million after those 2 items. 
Brent Korb: Yes, I mean, what we've historically said is you can think of the maintenance capital kind in the $11 million and $12 million range has been kind of our historical run rate, and it may be plus or minus $1 million, depending on the year you're looking at. But with the rest being -- it's kind of hard. It's primarily growth-related. We incur a lot of expenditures and tooling on the vinyl business, so that's a lot for new programs and things like that where the bulk of that, the remaining dollars go. 
Philip Gibbs: So the tooling on the vinyl business basically keeps you just rolling out the new products and moving with the market? Is that the good way to think about it? 
Brent Korb: Yes, I mean, as we've rolled out EnergyCore a year ago and we've come out with some new window lines this year, we incur sizable capital cost to build all those new tools. 
Operator: Our next question or comment comes from the line of Mr. Rich Glass from Lockwell Investments. 
Richard Glass: Maybe you covered this, I might have missed it, but did you guys give the comparative number from Edgetech for last year? 
Brent Korb: No, we did not give a comparative from last year in the earnings release or anything like that. 
Richard Glass: Can you share that with us or at least tell us if it was growing or shrinking or what went on there? 
Brent Korb: To be honest, I don't have it right here in front of me. And I'm just trying to think in my head what even comes up in the Q. In the Q, I believe there is a pro forma what it would've looked like. So I think it would be the best comparison, but I don't have that information in front of me. 
Richard Glass: All right, I'll take a look there. And then, can you tell me -- give us a little color on the integration of the sales force, essentially where you are? I know you had some, at least, retraining, if not rejiggering in terms of the deal of the sales force with Edgetech to get to the point where you could really think about cross-selling and things like that. Can you tell us what's going on there? 
David Petratis: So early on, we brought in a consulting group out of Chicago to help us with the integration. We took 4 or 5 months to work it through. Actually, use some models to size the territories properly. Coming out the end of that 44% more feet on the street, a very defined marketing area that I'll comment on and are doing it at less fewer dollars than we had with the 2 stand-alone entities. So we feel good about that. As we roll into it, we've got focus on our IG business with combined Edgetech, Truseal, focus on our vinyl business and focus on our facilities. I mean, not facilities, but window accessories. And within that, you really have the stand-alone capability to service the needs of an external customer and cross sell, have to put on org chart, but we use a matrix approach to be able to serve the customer from soup to nuts on our capability. In addition, the strongest marketing capability that we've had ever at Quanex supporting those different initiatives, our focus on codes and standards, which we think are important. Last week in Washington D.C., we had 8 to 10 regional window builders working with the EPA, working with Department of Energy, influencing the 2013 or '14 energy, I don't know exactly the date, but we believe more energy-efficient windows is extremely good for Quanex and for our customers. And quite frankly, it's not been well organized. So we've launched new branding strategies that's apparent at both the Glass show and IBS show. And I believe when you look at our numbers, as we continue to outperform the market and then specific benchmarks, the integration is going extremely well. 
Richard Glass: Okay, that's great. And can you tell me, if you were to rank the opportunities, would you say it's a higher priority to get your core business into the Edgetech regional guys, or it's maybe a bigger or better opportunity in some ways to push more international, whether it's Europe or South America, Central or South America, I guess? 
David Petratis: So with Edgetech or our IG business specifically, our best opportunity is international growth. Between Edgetech and Truseal, excellent job at covering the market. If you talk domestically, that Edgetech Truseal position, which covers over 800 window fabricators in the United States and Canada, it's introducing our other capabilities, our vinyl products, our window accessories, where the opportunity becomes, or vice versa. Quanex in its history never cross-sold and that's what we've opened up with the new structure. So international, clear opportunity. There are codes and standards people influencing places like Australia and they're building more -- bringing more products in a cross-selling standpoint throughout the North America continents where we're focused. 
Richard Glass: All right. And finally, can you maybe rank the -- I heard what you said about your buyback and I heard what you said about acquisitions. Can you kind of rank the use of cash at this point in time? And I guess, dividend, you might be the last in the list, but can you rank order those maybe in terms of priority? 
David Petratis: So we -- all arrows are in the quiver in terms of the use of that cash. Acquisition is clearly at the top. We continue to be disciplined acquirers. I think when the full story unfolds on Edgetech, you'll see that. We think there's opportunity here in the sweet market. We'd like to execute on it. After that, Brent, I'll let  you comment you on the other uses. 
Brent Korb: Yes, I may add, I think to be fair. So acquisitions are clearly a priority that we're looking at. And then, in addition, we are investing in organically, obviously, with Project Alpha, the ERP, we're investing those foundational things to prepare us for the recovery and put us in better position. And then after that, I think we look at it. It's tough to order, is it the dividend first or the share repurchase, it kind of depends on what the price of the stock is as to which one of those comes ahead of the other at that moment in time. But acquisitions are clearly top of mind, but I also want to be clear, the monies not burning a hole in our pocket, and we're very focused on those acquisitions that make the most sense, something like Edgetech was tremendous addition to Quanex, so we're looking to repeat that. 
Operator: Our next question or comment comes from the line of Mr. John Kohler [ph] from Oppenheimer. 
Unknown Analyst: Quick question on the market share. I'm wondering, are you seeing that mostly being tied to the top producers or are you starting to make some more headway on the regional manufacturers? Any kind of information on that would be helpful. 
David Petratis: We don't like to talk specifically about customer share. But clearly, the mid-market, from my perspective, was working better in the fourth quarter -- or our first quarter and at the second half -- our fourth and first. I've never seen more consolidation and takeout happen than I saw in the second half of last year, and the big guys were leading that. So that mid-market replacement market was working. And I think when you look at our numbers, you got to step back and say we're having some success in our go-to-market approaches, and it's in the mid-market. 
Operator: I'm showing no additional audio questions at this time. 
David Petratis: Okay, I will wrap it up. 
 During the year, you can expect us to continue to push our lean process initiatives, stretch productivity improvements, lower cost and expand our customer base. Our vision for profitable growth remains on track. 
 That concludes today's call. Thanks for joining us, and have a great day. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.